Operator: Good morning, ladies and gentlemen. My name is Andrew. I will be your conference call operator today. At this time, I would like to welcome everyone to Bryn Mawr Bank Corporation’s Quarterly Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker remarks, there will be a question-and-answer period. [Operator Instructions] It is now my pleasure to turn the floor over to your host, David Takats, Chief Financial Officer. Sir, you may begin your conference.
David Takats: Thank you, Andrew and thanks everyone for joining us today. I hope you had a chance to review our most recent press release. If you have not received our press release, it is available on our website at bmtc.com or by calling 610-581-4925. Frank Leto, President and CEO of Bryn Mawr Bank Corporation have some comments on the quarter and our strategic initiatives. After that, we will take your questions. The archives of this conference call will be available at the Bryn Mawr Bank Corporation website or by calling 877-344-7529, referring to conference number 10067729. A replay will be available approximately 2 hours after this call concludes and will be accessible until 9:00 a.m. Eastern Time on Friday, August 7, 2015. Before we begin, please be advised that during the course of this conference call, management may make forward-looking statements which are not historical facts. Forward-looking statements can be identified by the fact that they do not relate strictly to historical or current facts. They often include, but are not limited to the words may, will, would, could, should, likely, possibly, probably, potentially, predict, contemplate, continue, believe, expect, anticipate, outlook, project, forecast, are optimistic, are looking, intend, plan, target, estimate or words or phrases of similar meaning. Forward-looking statements by their nature are subject to risks and uncertainties. A number of factors, many of which are beyond the corporation’s control could cause actual conditions, events or results to differ significantly from those described in the forward-looking statements. All forward-looking statements discussed during this call are based on management’s current beliefs and assumptions and speak only as of the date and time they are made. The corporation does not undertake to update forward-looking statements. For a more complete discussion of the assumptions, risks and uncertainties related to our business, you are encouraged to review our filings with the Securities and Exchange Commission located on our website. I would now like to turn the call over to Frank.
Frank Leto: Thanks, David and I would like to thank all of you for joining the conference call today. I hope you had a chance to review our second quarter earnings release, which was issued yesterday after the market close. With net income of $8.1 million for the second quarter, we continue to produce consistent, strong results. Excluding merger costs and security gains, our core earnings have improved by $1.2 million from the second quarter of last year. One of the most promising indicators from the second quarter was the excellent loan growth that we experienced. Portfolio loans grew by a net $64.7 million, or 3.1% during the second quarter, with C&I, commercial mortgage and construction loans accounting for the lion’s share of the growth. This loan growth was net of $54.3 million of pay-downs during the quarter of acquired loans and is the result of many new loan relationships created through the bank’s expanded footprint. And while the growth was significant, it was not at the expense of credit quality which remains very strong, with non-performing loans making up only 42 basis points of total portfolio loans, down 61 basis points from the end of 2014. Our strategic initiatives, which we announced at the beginning of the year, have begun to generate promising results, with consumer loan applications up by approximately 20%. Our mortgage banking initiative, which was introduced in the first quarter, is well on its way of reaching or possibly exceeding its goal of originating $251 million of residential mortgage loans in 2015. Wealth assets, which reached a new high of $8.5 billion in the second quarter, continues to produce strong revenue levels, while our insurance division, which was further bolstered by our April 1 acquisition, continues to add an important source of non-interest income to the bank. In regards to capital planning, during the second quarter, the corporation repurchased 88,800 shares of common stock under its February 2006 stock buyback program at an average share price of $29.58 per share. The repurchase was made in order to offset share issuances in connection with our various stock-based compensation awards, which totaled 98,473 shares during the quarter. In addition on June 30, 2015, the Kroll Bond Rating Agency assigned a senior unsecured long-term rating of A-, a subordinated debt rating of BBB+ and a short-term debt rating of K2 to Bryn Mawr Bank Corporation. We engaged Kroll to perform their due diligence and issued the ratings as part of our ongoing capital planning strategies. The Kroll rating will allow us to more readily explore a broad range of capital opportunities as they may arise. When we entered into the merger with Continental, we were well aware that this first year would be a challenging period for earnings growth. Redundant systems as well as staffing are beginning to wind down, which we grow nearer to the full integration and the scheduled late October 2015 core banking systems conversion. Once we have crossed that hurdle, we expect to realize further the anticipated cost savings related to the combined institutions. In addition to the core banking system conversions, several large system upgrades are at various stages of completion. These upgrades include the commercial lending portfolio management tool, which was placed and used during the first quarter and has begun to streamline the workflow as well as enhance the monitoring of our commercial credits. On June 17, we rolled out our new online and mobile banking tool, which puts BMT on the leading end of consumer banking solutions, enabling us to compete more effectively in the space. Not far behind the consumer offering will be our business online banking product, which will also put us on equal footing with our larger competitors. In addition, a companywide imaging solution is nearing completion, which will vastly improve our efficiencies throughout the organization. And finally, a new desktop platform will be introduced, which will enhance the customer experience at our branches. All of these infrastructure improvements will help build a strong foundation for our future growth. For the past 89 consecutive quarters, we paid dividends to our shareholders and we are very proud of this record and feel very fortunate to have the continued loyalty and support of our shareholders. Therefore, I am pleased to announce on July 23, 2015, the Board of Directors of the corporation declared a quarterly dividend of $0.20 per share, payable on September 1, 2015 to shareholders of record as of August 4, 2015. This represents a 5.3% increase from last quarter and is indicative of the Board’s confidence in management’s ability to deliver strong results. In summary, we believe our business model is sound with an improving economy, locally and nationally. We are in an excellent position to take advantage of opportunities for continued profitable growth and strong performance. As we, along with other community banks, continue to be squeezed by tightening interest margins, we strive to identify new ways to diversify and expand our non-interest revenue streams. We continually evaluate acquisition opportunities as they arise with a focus on quality and compatibility and we believe we are poised for continued profitability and growth. And with that, we will open up the lines for questions. Andrew?
Operator: We will now begin the question-and-answer session. [Operator Instructions] I apologize for the interruption. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Chris McGratty of KBW. Please go ahead.
Chris McGratty: Hey, good morning everybody.
Frank Leto: Good morning, Chris.
David Takats: Good morning, Chris.
Chris McGratty: Hey, Frank. Question for you kind of strategically, it’s the Continental deal and we talked about the cost saves kind of being back end to early ‘16 realization, given your comments on the investments that you are making and the upgrades now that you are a much bigger institution, have your accretion expectations changed at all, I guess maybe that’s the first question?
Frank Leto: On Continental, you are talking about?
Chris McGratty: Yes.
Frank Leto: No, I think we are still on track from what we had originally anticipated.
Chris McGratty: Okay. And on that point, on the cost saves, I guess what proportion have you realized or would be in the fourth quarter numbers and maybe can you help us on the outlook for kind of expenses within the next 6 months to 9 months? Thanks.
Frank Leto: Well, Chris I think we have said all along, we have got the conversion in late – the middle of the fourth quarter. So once that conversion happens, then the duplicate systems and a lot of the redundancies in employees will go away almost immediately. So we will realize the full run rate by the end of the year. And I think the last couple of quarters we talked about in sort of a normalized expense line of about $25 million at that point.
Chris McGratty: Okay. So $25 million, it would be kind of a starting point for 2016 and some modest, I guess inflation growth off of that or is…
Frank Leto: Exactly, $25 million a quarter approximately, yes.
Chris McGratty: Got it. Last question would be on the balance sheet, can you help us with the size of balance sheet, have you guys tweaked the investment portfolio, the size enough given the merger or kind of help us on the size of that kind of going up the next years?
Frank Leto: Well, I am going to turn over to David in a second. But I think we are especially with especially with the strong loan growth that we are experiencing and looking at the pipeline going out, I think we are probably pretty stable with where we are currently at this point in time. David, I don’t know if you want to comment.
David Takats: Yes. I mean at the beginning of the year, with all of the investments that came on from Continental, we looked at the investment portfolio and did some adjusting there, trying to shorten the portfolio. But right now a lot of the funding is going to loan growth. So I don’t think we are anticipating any significant changes in the investment portfolio right now.
Chris McGratty: Alright, thank you.
Frank Leto: Thanks, Chris.
Operator: [Operator Instructions] Seeing that there are no other questions – excuse me, I see that there is a follow-up from Chris McGratty of KBW. Please go ahead.
Chris McGratty: I am not sure if anyone was going to get in the queue. So let me ask one more, if I might. Frank, with the dividend, you are obviously taking care of shareholders through dividend, your capital is pretty strong though it’s 9%, what’s the capital priorities, is it just integrating the deal and then maybe doing something on the wealth side later on or are you actually looking for deployment opportunities?
Frank Leto: We are actively looking for deployment opportunities. We spent a lot of time with the Board on just general capital planning strategies. And I think you know just from Ted before me and now what we are working on, I mean we are constantly looking at opportunities. And its bank, its wealth and insurance acquisitions at this point in time. So I think we would like to keep our powder dry to be able to take advantage when it’s – would be appropriate time.
Chris McGratty: Okay.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Frank Lehto for any closing remarks.
Frank Leto: Thanks everybody for joining the call. We are looking forward to a good third quarter, and we will talk to you at that point in time. Thanks.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.